Operator: Thank you for standing by, and welcome to the L.B. Foster Company Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Lisa Durante, Investor Relations Manager. Go ahead.
Lisa Durante: Thank you, operator. Good morning, everyone, and welcome to L.B. Foster Company's fourth quarter 2024 earnings call. My name is Lisa Durante, the company's investor relations manager. Our president and CEO, John Kasel, and our chief financial officer, William Thalman, will be presenting our fourth quarter operating results, market outlook, and business developments this morning. We'll start the call with John providing his perspective on the company's fourth quarter and full year 2024 performance. Bill will then review the company's fourth quarter financial results. John will discuss perspectives on market development and company outlook in his closing comments. We will then open up the session for questions. Today's slide presentation along with our earnings release and financial disclosures were posted on our website this morning and can be accessed on our investor relations page at lbfoster.com. Our comments this morning will follow the slides in the earnings presentation. Some statements we are making are forward-looking and represent our current view of our markets and business today. These forward-looking statements reflect our opinions only as of the date of this presentation. We undertake no obligation to revise or publicly release the results of any revisions to these statements in light of new information except as required by securities law. For more detailed risks, uncertainties, and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and presentation. We will also discuss non-GAAP financial metrics and encourage you to carefully read our disclosures and reconciliation tables provided within today's earnings release and presentation as you consider these metrics. So with that, let me turn the call over to John.
John Kasel: Thanks, Lisa, and hello, everyone. Thank you for joining us today for our fourth quarter earnings call. I'll begin my remarks on slide five, covering the highlights of the quarter. First of all, let me say we're very pleased with how we finished 2024 with solid profitability and strong cash generation in the second half of 2024. These results are a clear indication of our strategic playbook and execution over the last three years, translating to improving economic profit generation. In the fourth quarter, gross margins of 22.3% were up 100 basis points over last year on 5% lower sales, highlighting the improved profitability of the portfolio. Adjusted EBITDA of $7.2 million was up $1.1 million or 18.7%, with lower SG&A expenses delivering the improvement versus last year. In line with our normal working capital cycle, we also delivered a strong quarter of cash generation, with operating cash totaling $24.3 million, noting that $49 million was generated in the second half of 2024. Cash from Q4 was deployed primarily to reduce our net debt in the quarter by $20.9 million to $44.5 million at quarter end. As a result of lower debt levels and improving profitability, our gross leverage ratio came in at an impressive 1.2 times. This is an improvement from 1.9 times at the start of the quarter and 1.7 times from last year. Highlights from the full year results are on slide six. Reported sales of $530.8 million were down 2.4% as a result of divestiture activity, while organic sales were up modestly. In line with our strategy, gross margins expanded 160 basis points to 22.2% despite the lower sales. The improved gross margins increased adjusted EBITDA by $1.8 million to $33.6 million for the full year. Solid operating cash flow in the quarter allowed us to reduce debt, improve leverage, and make progress on our stock buyback program with 2.7% of outstanding shares repurchased in 2024. We also finalized the Union Pacific settlement funding in 2024, improving cash generation by $8 million per year going forward. All in all, I'm very pleased with our team's accomplishments and the progress we have made executing our strategy in 2024. Our disciplined execution of our strategic playbook has positioned us well, and we're optimistic about the prospects for continuing growth in 2025 and beyond. Bill will now cover the financial details for the quarter and year, as well as an update on our capital allocation priorities, which includes a new $40 million stock buyback program. I'll come back at the end with some closing remarks on our markets and outlook for 2025. Over to you, Bill.
William Thalman: Thanks, John. Morning, everyone. I'll begin my comments covering the fourth quarter highlights on slide eight. As always, the schedules in the appendix provide more information on our financial results, including the non-GAAP reconciliations. Net sales of $128.2 million declined 5% in the fourth quarter due to an organic sales decline of 3.8% driven by the infrastructure segment. Rail organic sales were up 14.2%. Despite the lower sales, gross margins expanded 100 basis points to 22.3% due to improved profitability in the rail segment. SG&A costs in Q4 were $24.4 million, down $2.8 million from last year due to lower personnel costs and lower bad debt expense in the UK resulting from a $1 million charge taken last year. Restructuring costs of $0.5 million and a $1.7 million charge related to the settlement of our US defined benefit pension plan were both excluded from Q4 adjusted EBITDA. Adjusted EBITDA for the quarter was $7.2 million, up 18.7% versus last year due primarily to the lower SG&A expenses. Operating cash was strong at $24.3 million, up $2.6 million over last year's fourth quarter. This year's result included $0.8 million in funding and $1.8 million to terminate the US defined benefit pension plan. I'll cover the deployment of operating cash along with some additional color on performance by segment later in the presentation. Slide nine reflects the organic and portfolio-driven impacts on sales and adjusted EBITDA for the quarter versus last year. We continue to realize improved profitability year over year from our portfolio work, as well as improvements in our legacy businesses. Despite the lower organic sales in the quarter, our legacy businesses contributed a strong increase in EBITDA due primarily to the lower operating costs. The bridge grid deck business continues to wind down, which is also contributing to improved profitability year over year. Slide ten highlights the favorable impact on margins over a longer time period. Reflected here are quarterly sales and gross profit over the last years. We continue to realize improved margins year over year driven by an improved sales mix. Our focus on driving organic growth within rail technologies and precast concrete is translating into higher margins and greater economic profit generation on slightly lower sales in recent quarters. We expect this trend to continue in line with our strategic playbook with a focus on driving organic sales growth in 2025. On the next couple of slides, I'll cover the key drivers of segment results for the quarter. Starting with rail on slide eleven, fourth quarter revenues totaling $79.2 million were up 14.2% over last year. The entire increase was organic and driven by higher volumes in rail products, friction management, and total track monitoring product lines. In addition to the higher sales, rail margins of 22.2% were up 300 basis points versus last year. The improved margins were driven by the strong segment volumes, coupled with improvements in our higher margin growth platforms, as well as the ongoing recovery of our business in the UK. Fourth quarter rail orders decreased by 8.5% driven by softer orders in rail products. Rail backlog was down 26% year over year in large part due to our strategy. The decline was realized entirely in rail products and our UK business. We continue to limit investment in the UK despite some improvement year over year. Partially offsetting the decline was a 53.4% increase in backlog for global friction management. Turning to infrastructure solutions on slide twelve, segment revenue decreased $16.6 million or 25.2% due to soft market conditions in the steel products business. Most notably, our pipeline coating product line. Prospects for improvement for this product line will be covered in John's market outlook section later on. Precast concrete revenues were down versus last year, with Q4 of last year being an exceptionally strong for our CXT buildings product line. Gross margins were down 90 basis points to 22.6% due to lower sales volumes and unfavorable business mix within steel products for the quarter. Precast concrete margins of 25.7% were up 20 basis points versus last year. Infrastructure orders were $52.2 million, up $6.8 million over last year, with the increase realized entirely within the protective coatings product line, highlighting the improving outlook. Backlog totaling $123.5 million was down $5.9 million primarily due to a $6.8 million decline in the bridge product lines. Precast concrete backlog increased $3.6 million versus last year. I'll briefly cover the highlights for the full year on slide thirteen. Organic sales were essentially flat for the year, with the 2.4% reported sales decline due to divestitures. Rail organic sales growth was a solid 5.4% but offset primarily by lower organic sales in steel products within infrastructure. Gross profit improved $6 million while gross profit margins of 22.2% improved 160 basis points. As a reminder, the 2023 gross profit was adversely impacted by $4.2 million from the bridge grid deck exit while 2024 gross profit includes a $0.8 million gain on a property sale completed in the second quarter. The balance of the margin improvement is due to business portfolio changes in line with our strategy, coupled with overall favorable business mix and pricing initiatives. SG&A expenses decreased $1.2 million from the prior year. The decrease is due to lower employment and bad debt expenses, partially offset by higher restructuring, legal, and professional service costs. 2024 adjusted EBITDA was $33.6 million, up $1.8 million compared to last year, driven by both improved margins and lower SG&A expenses. I'll now cover our liquidity and leverage on slide fourteen. Net debt declined $20.9 million during the quarter to $44.5 million driven by the operating cash flow of $24.3 million in the fourth quarter. We've consistently managed our leverage and debt levels in line with our business profitability and other capital needs. We believe this is a strength of the business given our capital-light business model. As John mentioned in his opening remarks, the Union Pacific settlement was fully funded in December. The $50 million obligation paid over six years with $8 million paid in 2024 is now behind us. Its resolution provides a significant boost to our financial flexibility going forward. It's worth noting that the 2024 free cash flow adjusted for the UP payments and other nonrecurring items was approximately $25 million representing an 8% yield at today's spot price. Our strong cash generation also allowed us to step up the pace of our stock repurchase program in 2024. I'll cover the new stock repurchase authorization along with other capital allocation priorities on slide fifteen. Our previous $15 million authorization expired at the close of last week. Since the program's inception, we repurchased 135,000 shares or approximately 3.8% of common stock outstanding utilizing total proceeds of $9.1 million through December of 2024. I should note that we also repurchased approximately 111,000 shares in 2025, bringing total repurchases under the expired authorization up to 545,000 shares or approximately 4.8% of shares outstanding. On March 3, 2025, the board authorized a new three-year $40 million share repurchase program that will expire at the end of February 2028. Share repurchases are an important capital allocation priority for us, especially with the improving prospects for cash generation and current attractive valuation. We plan on continuing to invest CapEx in our facilities at a rate of approximately 2% of sales with a focus on organic growth initiatives within our growth platforms. We also continue to evaluate tuck-in acquisitions to add breadth to our overall growth platforms. And finally, we will remain prudent with our leverage and net debt levels with the goal of maintaining leverage between one times and two times over the longer term. We finished 2024 with gross leverage at 1.2 times, which was a low point in recent years. Our working capital needs are greatest in the first half of the year and our debt levels and leverage will be elevated during this period. However, we've consistently demonstrated that we can manage through these normal seasonal cycles and maintain our financial flexibility while funding other capital allocation priorities. My closing comments will refer to slides sixteen and seventeen, covering orders, revenues, and backlogs by business. The book-to-bill ratio at the end of Q4 was 0.95 to 1, up slightly from last quarter. Rail order rates have begun to recover with the trailing twelve-month book-to-bill ratio at 0.94 to 1, including a 3.2% increase in friction management orders in Q4. Our orders across the steel products and precast concrete businesses drove the improved infrastructure ratio at 0.97 to 1. Steel product orders were up 65.8% with strong intake levels in protective coatings. Precast concrete orders were also up 1.6% in the fourth quarter. And lastly, the consolidated backlog reflected on slide seventeen was down $28 million or approximately 13% from the record high levels seen last year, with both segments experiencing declines. It should be highlighted that the lower backlog and related book-to-bill ratio below one are in part due to our strategic playbook. The rail segment backlog is down $22 million. Over half of the decline is in our UK business, as we continue to scale back initiatives in the UK market in line with our strategy. The balance of the decline is in our rail products business, in part due to the lower market steel prices. Backlog for the friction management product line was up $3.8 million or 53.4%. Infrastructure backlog is down $5.9 million or 4.6% with the entire decline due to steel products. Precast concrete backlog improved $3.6 million or 4.6%. The $9.5 million decline in steel products backlog is due to lower demand levels across the business unit, as well as $2.7 million from the product line exit activities. In summary, despite the lower backlog levels, we remain optimistic in the outlook for profitable growth with our focus on driving demand generation in our growth platforms, coupled with an expected recovery in our protective coatings business, which John will cover in his closing remarks. Thanks for the time this morning. I may now hand it back to John.
John Kasel: Thanks, Bill. I'll begin my closing remarks by covering the near-term outlook for key end markets on slide nineteen. Bill mentioned that our overall backlog is down 13% versus last year. So let me unpack that a bit more. To begin with, over half of the backlog decline is due to our continued strategic playbook actions as we focus on expanding our more profitable work programs and eliminating or scaling back parts of the business that consume working capital and are not generating the economic profit that we'd like to see. In our core growth areas, backlog is up year over year in friction management and precast concrete by 53.4% and 4.6%, respectively. And while total track monitoring backlog is down versus last year, we are seeing an increase in quoting activity that should translate into order book improvement in this product line. These trends should translate to improved sales efficiency continuing into 2025. As a reminder, we had an exceptionally strong first quarter last year, particularly in our rail segment, which is normally softer at the start of the year due to adverse weather conditions. But with the 13% lower backlog this year and the volatile macro environment, we expect the start of 2025 to be softer versus last year. However, we believe demand from our core end markets should continue to support growth over the medium to long-term cycles. With the increasing focus on rail safety, operating efficiency, and reliability, we expect steady demand in our rail segment to continue, especially for rail technology-oriented elements of the portfolio. With the current activities in Washington, D.C., we are monitoring the status of government funding programs previously approved supporting investment in rail infrastructure. Our markets are also absorbing the threat of tariffs, particularly related to steel, and we are taking steps to align supply chain to build in flexibility where possible to navigate the choppy conditions that may be ahead. For the infrastructure business, we see a couple of favorable trends worth highlighting. As mentioned before, precast concrete backlog is up, and we continue to ramp fulfillment capacity in Tennessee and Florida operations. Construction demand in these markets continues to be robust, and we believe the growth drivers remain largely intact. The commissioning of our Central Florida facility remains on track, and we're seeing interest continue to grow in our Virocast wall system solution. We expect production to begin in this facility by the end of the first quarter with initial orders already in place. Also within infrastructure, the renewed interest in US oil and gas is translating to increasing demand and a favorable outlook for our pipeline coating product lines. Building on that, protective coating orders were $8.6 million in Q4, up from $1.4 million last year. As you recall, this product line has been depressed over the last four years, and we're optimistic that the favorable demand development will continue throughout 2025. In summary, as I mentioned earlier, while we expect the start of 2025 to be a bit softer than last year, we believe we are well-positioned to benefit from infrastructure-based investment plans for years to come. On slide twenty, you'll note our investment thesis remains unchanged as we move into 2025. The strategic steps we've taken to reposition our portfolio continue to manifest improved sales efficiency and economic profit generation. As a result of our strategic choices, we've been able to simplify the business portfolio and narrow our investment in growth platforms of rail technologies and precast concrete. The multi-year infrastructure investment super cycle we expect in the coming year should translate to sustained robust growth in our platforms. Our strategy execution along with our capital-light business model continues to drive strong cash generation, which should expand further in 2025 with the completion of the Union Pacific settlement payments behind us and, of course, an improved profitability outlook. And finally, we continue to allocate capital in a conservative manner to maintain financial flexibility while also driving growth and shareholder returns. In summary, we're confident that our strategy is sound and our investment thesis anchored by these four pillars is compelling. And as a result of that, we have authorized a new three-year $40 million stock repurchase program. I'd like to close today's call by covering our 2025 financial guidance found on slide twenty-one. As you may recall, we announced our refreshed strategy in December of 2021 and established aspirational goals you see here for 2025. We've made significant progress through 2024, and our guidance for 2025 is within striking distance of the goals we established over three years ago. Importantly, when these goals were established in 2021, it contemplated significantly more risky portfolio changes than we completed. What we realized along the way is our portfolio as it exists today, after nine transactions completed over the last three years, can deliver the goals we established without the higher risk, namely capital-intensive acquisitions. The midpoints of our sales and EBITDA guidance for 2025 represent a reasonable 5.5% organic sales growth, but the more robust 34% adjusted EBITDA driven by sales mix and leverage SG&A. Of course, M&A is an important capital allocation priority for us, and we continue to evaluate the portfolio and opportunities for tuck-in acquisitions aligned with our growth platforms. But let me remind you that our current focus is driving organic growth programs, which should continue to accelerate our profitability expansion in 2025 and beyond. And lastly, while the current environment is a bit choppy, we believe these conditions will stabilize and the much-needed infrastructure investment will drive demand and growth in our markets. In closing, I'd like to highlight that 2024 represented the best safety year the company has ever seen. We are devoted to nurturing our culture of care by taking proactive measures to emphasize safety and the well-being of our employees and communities. Our employees understand the responsibility of making choices that will safely and positively impact themselves and others by making safety a priority. In this environment, together, we achieve more and drive positive change. So with that, on a closing note and statement on safety, I'm very pleased with our team's accomplishments over the last three years and look forward to continuing the journey in 2025. Thank you for your time and your interest in L.B. Foster Company. Turn it back to you, operator, for the Q&A session.
Operator: Certainly. And as a reminder, our first question comes from the line of Julio Romero from Sidoti and Company. Your question, please.
Julio Romero: Great. Thanks. Hey. Good morning, John and Bill. Thanks for taking questions.
John Kasel: Oh, look. Good to see you.
Julio Romero: Absolutely. Good to be here. My first question is on the 2025 guidance ranges for sales and EBITDA. That implies sales growth of about 5.5% to the sales midpoint and 34% to the EBITDA midpoint. If you could just speak to the puts and takes that could get you to the high and low end of your ranges.
John Kasel: Yeah. Well, obviously, what's going on in the markets today is a little choppy, so we have to kind of find our way through that. But where we feel very, very strong is where we've really been pivoting the company in the last couple of years with technology innovation, specifically in our rail side. So our condition monitoring business that we have, which is with the wheel applications that we have and the rockfall applications, and soon to hopefully be announced other products, this really gives you the opportunity to uplift not just our sales activities, Julio, but also the margins that come with that. So that's where we're really feeling good about as the year progresses. And all the work that we did last year with managing our SG&A, as you recall, we did a 7% reduction and really most of it was the back-office support. So we're going to see some nice leverage with sales and profitability for the balance of the year. So we'll probably land somewhere in between there. But what we feel the best about is the revenue we're seeing in the coming months is going to continue to maintain those nice profitability margins. You know, we're over 22% overall, and just a few years ago, we were struggling trying to get to 20%. So we've done a lot of hard work, and that's a lot of this related to technology innovation that we're bringing to the marketplace today.
Julio Romero: Excellent. Great context there. And then, you know, you mentioned the wheel impact load detection systems. Can you maybe just talk about what can drive increased market adoption of some of those offerings within the rail segment that are a little techier, you know, strike monitoring, etcetera? And does the recent incidents kind of in the headlines call attention to some of your customers for the need to prioritize safety?
John Kasel: Yeah. So in my remarks here, I talked about the rail space is, you know, operating safer and more reliably. And that's what this stuff does. It gives them the opportunity to really understand their relationship with what's happening with the railcars and what's going on with the track conditions themselves. So if there is an issue, it gives them the early warning indication of being able to do something. So they currently focus on their velocity and their distance between the trains themselves, dwell time. So much of the devices are in the marketplace today really are something that signals something that some defect or something has already occurred. Our product tells when early detection warning. So the railroads have really picked up on this. And we have the largest install base here in North America of this product line, and we're really excited about the opportunities that we see to continue to increase the install base with the introduction of our new Mark IV product that we brought to the marketplace last year. So things are looking, you know, very well there because our customers really understand the value we bring to them today of helping them run more effectively and efficiently. So going back to my earlier comments, see these uplift in margins. This is a good example of product lines that we're bringing in that will give us the opportunity to really change our portfolio as we move forward. And more profitability comes with that.
Julio Romero: Very helpful. One more for me, and then I'll hop in the queue. Just on the free cash flow, just now that the Union settlement is in the rearview, just what's the biggest swing factor to your cash flow going forward?
John Kasel: Yeah. So we got $22 to $30, and we ended up $22 this year. Right? And I think at one time, Bill and I were talking about zero to five, you know, and we really, really had great free working capital performance and just managing cash in the second half, specifically in the fourth quarter. This company does an excellent job. The operating people have done a really, really good job many, many years of really getting after cash generation. And I know that's one of the things that excites the investor base, but there's some choppiness that comes with it too. As we see an uplift, and we're going to have that in Q2 and Q3, related to some working capital buys that we need to do. Right? So we got quite a bit of work coming. And what I did mention before is all the infrastructure work that we have. So if you just look at what's going on in precast today and our continued expansion or legacy work as well as what's going on in Tennessee, and now with our new operation in Florida, you know, we're going to have to fund those organic programs with working capital. So, you know, we're going to have to manage that cash. And I think the cycle will look similar to what we saw last year with significant improvement towards the end of the year as we manage the close of the year. But with the Union Pacific behind us, you know, that was six years in the making of staying close to them, managing the settlement payments. I'll tell you what, we came out of that a much better company, L.B. Foster. And I think Union Pacific has also recognized the value we brought to them in the business today is just better as it's ever been. So, you know, we're looking for not just what we've done in the past with them, but how do we continue to grow that business. And really two different companies than where we were six years ago. So, you know, we're mindful of what's going on in cash flow. We like the fact that we hit it 1.2 times at the end of the year, from 1.7 times where we started our year over year and 1.9 at the start of the quarter. So that's something that is really a strong lever for us in the company. It keeps that in front of us and continues to manage and have the cash be something that is very, very important to us as well as continuing with the stock buyback. Right? So that's the thing that we always have to manage our way through there. We're very excited about this three-year $40 million program of continuing to invest in the company and purchase back these shares. That's how strong we feel about where we're at today and more importantly where we're heading. And the cash will be reflective of that as well.
Julio Romero: Excellent. Thanks very much. I'll pass it on.
John Kasel: Thank you, Julio.
Operator: Thank you. And our next question comes from the line of Chris Sakai from Singular Research. Your question, please.
Chris Sakai: Yes. Yes. Hi. Good morning, John and Bill.
John Kasel: Hi, Chris. Hey, Chris.
Chris Sakai: So can you help me understand, I mean, with these new steel tariffs coming on, how will this be how will this affect your backlog going forward? How should we look at that?
John Kasel: Well, the backlog's intact. We feel good about that. Right? And the good nice thing is, you know, we've seen these tariffs before, Chris, and I really appreciate the question. You know, back in 2017 with the 232 tariffs at So we've been down this road before, and, you know, our relationships with our domestic steel mills are excellent. So the good news for L.B. Foster and the investors at L.B. Foster is, you know, we pretty much have what we need to get, we have those quantities and tons pretty much allocated, and couldn't be sitting there for us this year. The question is where does the price fall through? What does the band look like on these mills really to other product lines? But we're as far as backlog, we're going to execute that backlog and, you know, a lot of times, or in the past, these tariffs really to steal itself was a good thing for L.B. Foster Company, and I'm looking for the same thing to happen. Second half of this year as well.
Chris Sakai: Okay. Great. And then for protective coatings, how high do you think that that number could go?
John Kasel: I don't know. All I know is what I shared with you, you know, for the $1.8 million, the all those additional over $8 million that we've seen just in the fourth quarter year over year basis. I you know, we're in constant contact with the mill itself, namely ZIP code was our you know, we're in line quarter four. And they're quoting a lot of work, and they're booking a lot of work in their two steel mills right now. So we are ramping up our operation. We have hired about fifty-five people in the last sixty days. So we are looking to be running almost at full capacity here starting in April. All that translates to what the revenue is going to look like between now and then years yet to be seen, but we're feeling very, very good about getting out of that trough that we've been in the last four years in that business and really driving some nice profitability out of that facility as well as what we have in our Willis specialty coating business as well. No. So both both are looking very good here.
Chris Sakai: Okay. Okay. Thanks. And then for the $40 million share buyback, what what made you decide on $40 million?
John Kasel: Yeah. Yes. Well, we had to pick a number. To start with. Right? And we, you know, we came off of $15 million. So Bill and I kind of talked back and forth. We worked with our board of directors. We looked at the Union Pacific, that cash coming back, and how how can we take a a good portion of that cash that we're not going to be spending related to settlement fees and and bring that into, you know, the repurchase program. So that just seemed a good fit, right balance. With, you know, the monies that we see that we're going to generate in operating cash. As well as that additional cash that's coming in.
Chris Sakai: Okay. And last one for me. Will you come out with a new four-year plan?
John Kasel: We will come out with a three-year plan related to aspirational goals we'll we'll stick to three years.
Chris Sakai: Okay. Sounds good.
John Kasel: Alright, Chris. Thank you.
Operator: And our next question comes from the line of Justin Bergner from Gabelli Funds. Your question please.
Justin Bergner: Hi, good morning.
John Kasel: Good morning, Justin.
Justin Bergner: Good work on the business and I guess my questions, John, would be around the precast concrete use in national parks state parks, I mean, we're seeing some potential disruptions there, shall we say, Right. How are you factoring that into your guidance and outlook? For twenty five.
John Kasel: Well, it might you know, that I guess with the earlier questions, when you start looking at the five forty to five eighty, Now that may have some impact of moving towards the lower end of the guidance related to that activity. So I'll tell you, Justin. Now we did eighty million dollars alone in that that business last year, which is the best year we ever had The great American Outdoors Act which is running for another year or so, really, the the funding. We're still in very, very good shape related to work we have, the work in our backlog, and the shipments that we're looking at making here in the next few months. So I'm not we're actually not as concerned about that as if perhaps we could or maybe on other things that have today. That one looks still pretty good.
Justin Bergner: Gotcha. Alright. And then in terms of the recovery in the second half versus the first half, like, what parts of the business are you banking on bouncing back?
John Kasel: Yeah. Good question. So, you know, our business, we didn't see as much as this last year, and it was in our remarks, Bill and I, is Our business is seasonal, and a lot of that's related to just getting funding budgets approved in as well as weather conditions. So typically, where we really really strive is in the second and third quarters. And then in in greater than fourth quarter too or in the first quarter, So we're seeing this to be a much more typical year, if you will. I think once these when we get through the tariffs and all those other government actions too, they'll settle down here. I I expect that to settle down in the coming you know, months, hopefully. But I do think the second half of the year related to the backlog we have, all the quoting activities we have, all the protective coatings work that's coming our way that we haven't seen in four years. All the work that's coming out of Florida with their new operation, all the work that's coming in Tennessee, related to CXT It's really really shaping up to something that we've feeling very good about because it the country needs infrastructure. They need infrastructure materials, And right now, I think we're very well positioned to be able to deliver on those things. Being that much of what we do is, first of all, is here in America. And second of all, how much of the materials we get come from America as well. So we're I think we're in we're, you know, it it's not keeping me up at night. The put it that way, Justin. I think we have opportunities to really pull together a good year and hit this financial guidance we have out there. As long as we, you know, we can't control everything. But right now, what we see is we're managing what what we can manage We're doing well.
Justin Bergner: Gotcha. And then lastly, on the tariff side with respect to the tariffs against Canada and Mexico, could that create any chill for your rail business?
John Kasel: Sure. It always can. You know, we do work Canada. We work Mexico. We have customers. We have customers in Canada and in Mexico. You know, but these tariffs and these other things have been talked about for a while, and our our business people have done a good job working with the the end users and markets there, and we've had quite a bit of work that's been flowing between the countries, you know, leading up to what happened you know, last night or early this morning related to tariffs. So I think everybody's mindful of what's going on. At the end day, the customers both Mexico and Canada, want our product, need our product, we will continue to find a way. To get in product, and and we're gonna continue to make product. In line with everything we're have in our backlog and and be able to we should be able to pass pricing on as well if if there is increased pricing because our contracts are allowing to do for us to do that. And we're we have quite a bit of flexibility that we haven't seen before. Coming out of COVID, really, we this organization really pivoted. We really got after our contracts. I really understood that what was really driving in material costs and other things. So we have an opportunity now to go get price when costs increase. We feel pretty good about that.
Justin Bergner: Alright. Thank you.
John Kasel: Thank you.
Operator: And our next question is a follow-up from the line of Julio Romero from Sidoti. Your question please.
Julio Romero: Hey. Guys for taking a few follow-ups for me. Sure. On the restructuring, are all the costs related to that taken already in 2024 how much savings were realized in 2024, and how much incremental savings 2025 do you expect relative to what you got in 2024? We appreciate that question.
John Kasel: We spent a lot of time really mapping that out. In fact, we took six months to really peel back the onion to what we needed to do there. And then we also took money, so then we pivoted towards our technology innovation engineering side of the company and as well as the technical sales side. And I'll flip that over to Bill. He need to give you some details on actually how those numbers are translating, what they mean this year. But wanted just from a strategy point of view, that was a key point to really getting ourselves positioned. For this profitability expansion that we have in 2025.
William Thalman: Yeah. Hey, Julio. So, yeah, in in 2024, the total charge that we took was right around $1.5 million. I think it was about a half a million dollars that we realized in Q4 as well. In terms of the split between Q3 and Q4, funding wise, we spent about $800,000 in 2024. There's a little bit of cash that'll come out in 2025, but in terms of P&L charges, nothing more that we would expect. In 2025. And then in terms of realized savings based on the timing of when employees left the organization, we realized about $2 million worth of savings in 2024. And we expect our run rate savings from the program to be about $4.5 million. So you would expect an incremental $2.5 million in 2024 sorry, 2025 over 2024.
Julio Romero: Great. Thanks so much for the color there. And then one more for me is just can can you maybe level set for us what percentage of each segment currently is related to growth, maybe what percentage of the consolidated L.B. Foster as a whole falls under the growth bucket, and then then if you could to the best that you can, speak to some of the organic growth rates embedded in those those short buckets that each should be getting in 2025.
John Kasel: Appreciate the question. So I'll start and then just give you a little color and strategy. I mean, we have growth coming out of both segments, first and foremost. So we feel good about that. We got quite a bit in the infrastructure as we talk about what's going on in Florida. The expansion that's going on in Tennessee, and both locations right now, as well as we got some nice programs going in Texas. On the infrastructure side, really building out our precast abilities that we have there. On the rail side, it's all about TTM and the condition monitoring that we mentioned. We've been talking about specifically products like the Mark IV the Rockwell applications that we have And then there's really a renewed interest on some of the other products we have, especially with Union Pacific. Settlements behind us where we're adding more rail products type components to the marketplace today that we haven't seen in in a while. And, of course, the big thing that, you know, basically went from zero to one hundred is predictive coatings right now. With the in line oil and gas pipe that we're doing twelve to twenty four inch pipe distribution pipe that we're we're gonna be coating and putting in a marketplace for the balance of this year. And we we honestly see that activity continue for multiple years. Billy, you wanna add a little color as far as the actual numbers, what that represents?
William Thalman: Yeah. I I think Julio, you know, we talk about the businesses segments, but then we also break down those platforms in some details in our materials. So I would characterize our growth platforms at about $230 million in 2024? And the balance of the business about $300 million would be our returns platforms. And I think you're probably familiar with what those groups are. We're thinking about growth rates for 2025 The growth the return platforms are gonna be kinda low single digit. Numbers. Low single digit. Growth rates. What I would tease out of that is the the coatings business, which is part of the re the returns platform, we would expect that to be maybe a little healthier healthier growth rate than low single digits just because of the emphasis on the energy investment here in the United States that's come back into play here somewhat in recent months. And then on the return on the growth platforms, we look at, you know, high single digits, low double digits in terms of growth rates. With the expectations of primarily within management seeing greater growth there. You mentioned the wild programs that we've got deployed in TPM, that will be a higher growth rate. As well. And then very importantly, the precast concrete business with the investments we've made in our Tennessee operations, market growth opportunity there, as well as the investments we made in Florida, we expect c sales growth to be a little healthier there as well. Hopefully, that helps.
Julio Romero: It does. Definitely appreciate the granularity. Thanks very much.
John Kasel: Thank you.
Operator: And as a reminder, if you do have a question at this time, please press. And this does conclude the question and answer session of today's program. I'd like to hand the program back to John Kasel for any further remarks.
John Kasel: Thank you, Jonathan, and thank you for joining us today. I'd just like to close once again with just a shout out to all the L.B. Foster team members. That made we challenged the company back in 2024. To be not just good at safety, but world-class as it relates to safety. See how we look at it is if you take care of your people, they take care of the process, the profits come. And when safety is good, the business is good. And we were we were outstanding in 2024. We went for a long period of time, months, quarters on end. But not even in one injury in the company. And for a company, it's been around since 1902. That's really says something. What we've been able to what we've been able to accomplish. And I think it really to the investors out there, either investing in the company today or a future investor, When this when L.B. Foster puts her mind to something, and we go out and say we're gonna do something, we deliver. Last year, when Bill and I set after the second quarter, we talked about profitability that we're gonna come in the second half of the year. We talked about the cash we're gonna generate. Second half year. And we delivered. We delivered on what we said after a tough second quarter. And we're here to say that we're gonna deliver on what we have in 2025 and beyond too. Good company. Good people. Strong operations, and what we're seeing through their safety program is, extremely exciting. And, again, it just represents who we are more importantly what we are and how we do things. So thank you, for joining us today. And look forward to catching up with you after the second quarter. Take care.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.